Operator: Good day, and welcome to the Post Holdings Quarter Three 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Daniel O'Rourke, Investor Relations. Please go ahead.
Daniel O'Rourke: Good morning and thank you for joining us today for Post's third quarter fiscal 2023 earnings call. I'm joined this morning by Rob Vitale, our President and CEO; and Matt Mainer, our CFO and Treasurer. Rob and Matt will begin with prepared remarks, and afterwards, we'll answer your questions. The press release that supports these remarks is posted on both the investors and the SEC Filings section of our website and is also available on the SEC's website. As a reminder, this call is being recorded, and an audio replay will be available on our website at postholdings.com. Before we continue, I would like to remind you that this call will contain forward-looking statements, which are subject to risks and uncertainties that should be carefully considered by investors as the actual results could differ materially from these statements. These forward-looking statements are current as of the date of this call, and management undertakes no obligation to update these statements. And finally, this call will discuss certain non-GAAP measures. For a reconciliation of these non-GAAP measures to the nearest GAAP measure, please see our press release issued yesterday and posted on our website. With that, I will turn the call over to Rob.
Rob Vitale: Thank you, Daniel and thank you all for joining us this morning. We had a really terrific quarter, and we expect a strong finish to fiscal 2023. This morning, I'm going to be a bit more prescriptive than usual as it relates to how we think about our business trajectory one year out. We realized that between adding the Pet business and our outsized foodservice performance, we are making for a challenging model. So, let's start with our Pet acquisition. You can infer from PCB's reported margins that Pet Food margin realization is exceeding expectations. In fact, contribution has well exceeded our underwriting case. There are three reasons. First, changes in factory leadership and behaviors within our factories have enabled us to improve service levels and rebuild customer inventories. Second, our G&A assumptions are proving to be conservative. And last, we have not yet begun to invest in brand rehabilitation. While we are not going to give specific guidance, it is fair to say our expectations for its contribution have increased in the short-term and meaningfully more so once we move past full integration and synergy realization. Recall our three-tiered approach to evaluating this acquisition. We said if we can increase margins, it will prove to be a good investment. Our margin opportunity is greater than expected and already starting to hit the P&L. The second tier was brand rehabilitation. In 2024, we will start to reinvest some of the margin upside and seek to revitalize these brands. That was investment success, Tier 2. And finally, we are building this over the long-term as a platform for inorganic growth. Related to inorganic growth, I'm very proud of this team's integration efforts. Going back all the way to MOM brands, TreeHouse Private label, Peter Pan and now Pet, we have developed a real proficiency at delivering sustainable synergies. The other contributor to outsized results this quarter was foodservice. The business continues its terrific performance. Ignoring the outsized performance, baseline is performing extremely well. Volumes grew 3% and mix continues to shift towards higher value-added products. In tandem, the volume growth and favorable mix produced a sustainably higher level of EBITDA than pre-COVID. We estimate this to be approximately $90 million per quarter prior to the impact of ready-to-drink protein shake manufacturing, which will come online in the first quarter of fiscal 2024. On top of a strong baseline, we delivered outsized performance. Matt will provide some detail on its drivers and the trajectory to normalization. Last night, we raised our adjusted EBITDA guidance to $1.18 billion to $1.2 billion. Back to my comment about helping you model by being more prescriptive, while our FY 2024 planning is in the preliminary stages, we expect to show modest EBITDA growth next year with our current guidance as the baseline. Further, we expect to be well positioned for FY 2025 as we realize synergies from the Pet acquisition, continue to improve supply chains and make incremental investments in marketing. The step-up in marketing is not limited to pet. We are stepping up marketing spend across categories, including US and UK cereal and the Bob Evans brand. Last, I want to be as clear as possible that in anticipating growth next year, we are including seven more months of Pet results and normalizing food service. Those are the significant offsets. Hopefully, the outlook for 2023 and these preliminary comments around 2024 give you the ability to appropriately factor recent M&A and current year performance in your models. Turning to ready-to-eat cereal. There have been questions lately about volume resiliency in the face of 2 years of stack pricing. In fact, category pounds were down 3.9%. We attribute this to lapping Omicron, a shift to away-from-home breakfast consumption and most significantly, the March reduction in SNAP benefits. Omicron and SNAP are non-repeating and as a result, we tend to think of the category as mean reverting to a pre-COVID 0% to 2% decline. We are also seeing a notable shift to value-priced products. Our shipment volumes this quarter declined 5.7%, but half of the volume decline was a result of Peter Pan shipments lapping the temporary market withdrawal of the Jif brand. On a consumption basis, we grew sequential dollar share in Cereal to 19.9%, and Peter Pan has grown half a share point on a two-year basis. Refrigerated Retail had a mixed quarter. Supply chains have markedly improved over last year and have enabled product continuity and margin expansion. On the negative side, we continue to see pressure from private label impacting volumes, and we are responding with our first television advertising in two years. We fully expect to see this brand resume its growth as we drive incremental households and expand distribution, both supported by reengaged marketing. Weetabix is in a tough macro environment with UK consumers facing food, energy and housing inflation, well ahead of the US. The business is being well managed, and we are investing in the brand for the long-term. In fact, against the backdrop of strong company-wide quarter, we are increasing marketing and Weetabix entered 2024 in stronger shape. In terms of capital allocation, we continue to weigh M&A, deleveraging and share buybacks against each other. We have been aggressive purchasers lately since the announcement of our Pet acquisition, we have open market repurchased approximately 60% of the amount of shares that we issued to J.M. Smucker, all while keeping our leverage ratio on a downward trajectory. In closing, we remain quite confident in our recent portfolio moves, and we continue to see momentum building in our business. With that, I will turn the call over to Matt.
Matt Mainer: Thanks Rob and good morning everyone. Third quarter consolidated net sales were $1.9 billion and adjusted EBITDA was $338 million. Net sales increased 22%, driven by the newly acquired Pet Food business. Excluding this acquisition, net sales increased 4%, driven by pricing actions in each segment. Foodservice saw increased volumes as consumers continue to show a preference for eating out during breakfast hours. Volumes in our retail businesses decreased as pricing elasticities ticked up and shifted volume to our private label offerings, although not enough to offset declines in our branded products. . Our supply chain performance and customer order fill rates continue to improve. However, we still have pockets of opportunity in both. Inflation moderated across the business in the quarter, especially in freight costs. Turning to our segments and starting with Post Consumer Brands. Excluding the benefit of the Pet Food acquisition, net sales increased 4% and volumes decreased 6%. Average net pricing, excluding pet food, increased 10% driven by pricing actions. We saw strong volume growth in private label cereal, which was offset by declines in peanut butter and branded cereal. Segment adjusted EBITDA increased 28% versus prior year as we benefited from the contribution of the newly acquired Pet Food business. Moving over to Weetabix. Net sales increased 7% year-over-year. The British pound was nearly comparable quarter-over-quarter causing us some nominal foreign currency translation headwind of approximately 50 basis points. The increase in net sales was attributable to significant list price increases and was partially offset by unfavorable mix towards private label biscuit. Volumes decreased 5% as growth in UFIT, extruded products, and private label biscuit was not enough to offset declines in branded products, which were driven by inflation-related elasticities. Segment adjusted EBITDA decreased 26% versus prior year as lower volumes and higher input and warehousing costs outpaced our pricing actions. We continue to expect a challenging macro environment in the UK to keep our margins compressed into 2024. Foodservice net sales and volume grew 8% and 3%, respectively. Revenue growth continued to outpace volume growth as revenue reflects the effect of our timing in our commodity pass-through pricing model in our temporary AI price premium. The benefits of our pricing dynamics were magnified by the combination of our normally low inventory level at the end of the second quarter and a temporary collapse of marketing prices in May and June. This market collapse resulted from the post-Easter demand pullback, coupled with the continued recovery of national layer population following avian influenza. It would likely take another AI event to have a similar price dynamic, the opposite direction. And as a reminder, such events historically give rise to incremental pricing. Our AI pricing tapered off at the end of Q3 and is winding down, which is a nominal tail in Q4. In addition, market egg prices quickly recovered by early July. So as we sit here today, the business on a go-forward basis is running in line with normalized run rate that Rob discussed. Refrigerated Retail net sales and volumes decreased 6% and 11%, respectively. The decline in net sales was driven by lower volumes and was partially offset by increased average net pricing in the portfolio. Side dish volumes decreased 10%, reflecting price elasticities and a customer shift to private label. Segment adjusted EBITDA increased 25% primarily benefiting from pricing actions to offset significant cost inflation, favorable salad [ph] costs and improved manufacturing performance across our network. Reinstating advertising and promotion spending versus the prior year was an offset to these benefits. Turning to cash flow. In the third quarter, we generated $282 million from continuing operations, which is up significantly sequentially and versus prior year driven by improved profitability and a decrease in net working capital. We ended the quarter at net leverage of 4.8 times, which is down from the 5.1 times pro forma for the April closing of our Pet transaction. Moving over to capital allocation. Capital expenditures were approximately $70 million in Q3, driven by continued progress on the new protein shake co-manufacturing facility, which is slightly delayed though into Q1 of next year. In addition, we repurchased 1.9 million of our shares at an average price of approximately $87 per share and retired $50 million of our debt at an average discount of 13%. In the month of July, we spent an additional $60 million to repurchase 700,000 shares, reducing our common shares outstanding to approximately $61 million. So to summarize, since the closing of the Pet transaction, we have been able to buy back 4% of our shares outstanding and still reduced leverage by three-tenths of a turn. With that, I will turn the call back over to the operator. Thanks for joining us today.
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions] Our first question comes from Andrew Lazar with Barclays. Your line is open.
Andrew Lazar: Good morning Rob and Matt. How are you doing?
Rob Vitale: Good morning. How are you?
Andrew Lazar: Great. Thanks. Maybe to start, Rob, I was hoping to get maybe your perspective on just some of the key dynamics at play in the industry right now. On the consumer side, a number of companies have mentioned consumers are stretching their budgets. On the other hand, it appears they've yet to see -- other companies anyway yet to see much in the way of trade down to private label or switching out of categories. On the customer side, we've heard about some inventory destocking at retail supply chain sort of get back to normal. We've heard that branded competitors are getting more promotional, but there's sort of mixed sentiment regarding the level of return to promotions, some say promotions are up year-over-year but still below 2019 levels. Others are saying promotions have largely returned to 2019 levels? I'm just trying to get a sense of maybe what you're seeing in this regard and sort of what your -- how you're expecting the environment maybe to play out over the next six to 12 months?
Rob Vitale: You always get me in trouble with these questions, Andrew, but I'm not falling into the trap anyway. So, here's how we think about the state of the consumer right now. You have an increasingly bifurcated consumer where we have still, call it, $0.5 trillion of excess deposits compared to pre-COVID. And at the same time, you have pretty significant increases in credit card debt. So, if you call that a one-third, two third relationship between the top and the bottom as that rate of excess deposit amortizes, you're going to see shift down in consumer spending. All the while having unemployment seemingly stay at a fairly attractive level, attractive from a macro perspective, not necessarily an inflation comment. But that leads to a 12 to 18-month horizon of probably a weakening consumer inflation -- unemployment is not going to get better, deposits are not going to get higher. And spending, particularly if you include the resumption of student loan payments is going to get more challenging. So, we think the net consumer position is likely to be weaker, not stronger and that, that bodes well for shift to value-oriented products, which we're already starting to see, and we expect to continue. That then suggests that certainly you're going to see some more promotional activity and a bit more pressure on pricing, offset by the normal things we've managed for the last decade plus.
Andrew Lazar: Got it. Thanks for that. And then I think, initially with the Pet Food acquisition you were looking for a contribution of annual sales of about $1.5 billion and annual EBITDA of about $60 million. Are you -- I guess, are you at a point where it's early still, obviously, in the integration. But where you're at a point where you're ready to either sort of update that? Or how do you see those numbers playing out now, given it seems like while early, things are starting to break in a pretty favorable way pretty quickly?
Rob Vitale: Well, we've got the business combined with grocery. So, we've got pet cereal and peanut butter under the Post Consumer Brands segment. So, what we're going to be able to share with you, of course, with another quarter as they plan for 2024 and then you're going to start to see the changes in the segment. Obviously, the lion's share of the changes in the segment are driven by the pet acquisition. We're not going to give specific updated guidance on Pet because it is part of a larger segment, but I think will be relatively easy to track the progression over the next couple of quarters. . Could you restate the numbers that you started with? Because I think the way you said it may have been just the 2023 effect and not the actual annual -- I may have misheard you, but what numbers did you throw up?
Andrew Lazar: Yes, I think, I mean, it was $1.5 billion in sales and then the EBITDA of $60 million.
Rob Vitale: No, no, EBITDA was $100 million.
Andrew Lazar: Yes. That was just the piece from -- for partial year, yes, but $100 million on a full, annualized basis. .
Rob Vitale: Correct.
Andrew Lazar: And then -- and then I guess the last thing would just be, as some companies in the industry are starting to lap pricing at least so far, it's early. The volume picture is maybe coming back a little bit more slowly than I think some would have maybe anticipated. Just looking at the mechanics of how you lap pricing and whatnot. In -- I guess, in your consumer business, are you at a point where you can see a trend developing yet where volumes are either sort of coming back mechanically as you would have expected as you lap the pricing? Or are things maybe a little bit slower in some of those consumer areas like what we've seen from some others? Thanks so much.
Rob Vitale: No, I think our pricing -- well, our volume dynamic is coming back very much consistent with our expectations. I think the -- I called out SNAP in the -- in my prepared remarks, I think that you can see where that caused a bit of a blip in volume consumption. So, we are not seeing any real surprises based on our own expectations. Again, the only surprise in the quarter has been strength of Pet margins as we start this journey with that
Andrew Lazar: Great, good to see. Thanks so much.
Rob Vitale: Thank you, Andrew.
Operator: Our next question comes from David Palmer with Evercore ISI. Your line is open.
David Palmer: Thanks. Good morning.
Rob Vitale: Hey David.
David Palmer: It sounds like Pet is giving you more confidence to guide on fiscal 2024 as you are today. Is it really all Pet that's giving you more confidence on specifically digging into -- if there's something in food service that could be sustaining above that base case of that $90 million per quarter plus the $10 million or so you might get from co-packing. So, any thoughts there? Thank you.
Rob Vitale: Pet is certainly a contributing component of our comfort level and giving you some sense of 2024. And let me be completely transparent on that. Had we not just had the twin events of adding Pet and having quite an outsized performance year-to-date in foodservice, we wouldn't be talking about 2024 just yet. That's not a normal cadence. So, what we are trying to do is try to be respectful of the challenges you all face with the complexity that we sometimes create and give you a little bit more of our thinking as it relates to a period of time a bit further out than we would normally do so. But in terms of the components. We do feel good about Pet, but we feel very good about most of our business. We think that there is going to be a strengthening position in our refrigerated business as we engage with advertising. We've invested heavily in Weetabix at the expense of Weetabix's current year performance. So, we are positioned nicely going into 2024. It would be nice to see some macro strengthening there. But what we can control, we are well controlling. Our foodservice business, even outside the pricing dynamics of AI is in very attractive shape. We've long talked about the investment we made in precook capacity, and we made a heavy investment in precook capacity right ahead of COVID, which for a couple of years looked questionable. Now it is paying off in spades as we see a higher mix towards value-added products. And recall that the mix in value-added products from highest to low is a 4x to 5x increase in the contribution to fixed overhead. So the business is performing well. In each business, yet there's room for improvement. We have some manufacturing underperformance in Michael Foods. We have the challenges that we've already articulated in Weetabix and Bob Evans and we can always do cost improvement within our network within PCB. So despite the strength of the year, we feel very confident that we can continue to build upon it and improve our trajectory.
David Palmer: Thanks. That's all very helpful. Just a quick one. I think probably investors are most nervous about volume assumptions by any food company these days, just -- and I'm just wondering what sort of volume assumptions, particularly with consumer brands and Refrigerated Retail, are you thinking about for fiscal 2024? And thanks.
Rob Vitale: Well, we gave you the category assumption that we're looking at of a 0% to 2% decline. Again, we're not through our planning process for 2024. So that's a pretty high level category call. We're not ready to give you where we're thinking about potatoes and other categories yet because we haven't gotten into the details of that assumption. But I would expect that to be more positive and that's more of a controllable on our side than a category comment because that's the area where we haven't marketed. But I think you're probably most interested in a large category like ready to eat cereal, and we think it's down 0% to 2%.
David Palmer: Thank you.
Rob Vitale: Thank you.
Operator: Our next question comes from Michael Lavery with Piper Sandler. Your line is open.
Michael Lavery: Thank you. Good morning.
Rob Vitale: Hey Michael.
Michael Lavery: Just wanted to come back to Foodservice. You mentioned the mix benefit. And you touched on some of the things that have really driven the lift in the quarter. But if that mix shift is more sustained, how much different is that than the $90 million base case run rate. Could that continue and continue to add a lift? Is your assumption that it doesn't? Can you just help us maybe think about the mix piece and what to expect going forward?
Rob Vitale: Well, I think the best thing I can do is refer you to our investor deck, in which we attempt to normalize that, go back to the $90 million per quarter baseline, add in a potential $20 million for ready-to-drink shakes adjusted by the fact that it doesn't all come on board day one of the new fiscal year. And then we call out a 3% to 4% growth rate in that segment. And that's a five-year model that we've published, and it's on our website and readily available. So, I think that's the best way for you to think about the impact of both volume growth and mix to higher value-added product.
Michael Lavery: And so some of that mix improvement is baked in already, I guess, is really what I'm trying to get at. Is that the right way to think about it?
Rob Vitale: It is because the volume growth is well below that but the volume growth is leveraged by the impact of mix.
Michael Lavery: Got you. Thanks for that. And on the share repurchases, are you able to give any color on how much or whether or not Smucker was involved in that? And just if their position has changed from where it was when the deal would have closed?
Rob Vitale: We are not.
Michael Lavery: Okay. Thanks so much.
Rob Vitale: Thank you.
Operator: Our next question comes from Bill Chappell with Truist Securities. Your line is open.
Bill Chappell: Thanks. Good morning.
Rob Vitale: Hey Bill.
Bill Chappell: Rob, just going back to read-to-eat cereal, I'm just trying to see how you think this -- the movie plays out over the next couple of years? I mean I understand you're seeing volume growth to 0% to 2%. But I guess the worry is that all the players will now struggle to grab share of volume that pricing gets more competitive, promotional levels get back to 2019 or even earlier levels? And you've held up very well there, but I'm just trying to figure out, does that towards the whole market? Do you feel like this time is different? Just trying to kind of understand from a pricing standpoint more than a volume standpoint, how you see the market playing out in the next 12 to 18 months?
Rob Vitale: Yes, I mean it's a good and perhaps central question to how you think about this category going forward? And the reality is, we don't know. We tend to be disciplined in the way we behave. We look at different market scenarios and try to make sure that we're behaving and responding in the manner that is most productive for us. But we don't spend a lot of time trying to anticipate what those market scenarios may be. You've got a change in the competitive landscape coming with not necessarily a new competitor, but a competitor organized in a new fashion. That's going to introduce some uncertainty. I don't know. The category is 100, whatever it is, 130 years old. We've been through many different ways. It over time seems to work its way up. But could there be periods of greater promotional activity, certainly. You hear me say mean reversion a lot lately. I tend to think all of these things have a pattern towards mean reversion, and I would lump this in the same bucket.
Bill Chappell: Got it. And as always, I appreciate your candor. In terms of the plan though to -- I think you had said step-up marketing not just on Pet but across the board and on the brands, how does that help? When I'm talking again about ready-to-eat cereal, is that necessary in terms of -- there have been a lot of brands that have popped into the category. There's going to be more noise out there and you need to do that? Or is it just kind of across the board, we need to support our brands with a higher level of support?
Rob Vitale: No, it was frankly more a luxury in that from a company-wide perspective we are well in excess of some of our internal estimates and felt that we tend to lean into opportunities to make longer-term investments when we have a situation like this and sometimes in the opposite, we'll pull the other direction. So, given the strength of the business, and some of the challenges Weetabix faces and some of the challenges Bob Evans has faced with lack of advertising, we wanted to lean in a bit more aggressively than we otherwise might have. So, necessity or luxury, I think, sometimes is a bit blurry, but it felt like more of a luxury given the performance of the portfolio.
Bill Chappell: Great. Thanks a lot for the color.
Rob Vitale: Thank you.
Operator: Our next question comes from Robert Dickerson with Jefferies. Your line is open.
Robert Dickerson: Great. Thanks so much. How's it going? I just want to touch on Weetabix profitability. Clearly, a little compressed in the quarter. I think you said in the remarks, probably stay a bit constrained as you kind of head into next year. So, maybe you could just comment on kind of what are the core drivers of that compression? And then like how do you kind of view the return to kind of prior profitability margins, just, I guess, within the region. Thanks.
Rob Vitale: Well, the single biggest contribution towards the dilution in the margin is a shift towards private label. We are the dominant provider of private label, but we -- it's not margin parity. So we're keeping volume within the biscuit category but losing some profit. I think in order to restore that profit, we need to do what we are doing, which is lean heavily into marketing instead of pulling anything back in a time of a bit of a challenge, we are going the opposite way, which makes the appearance of the margin challenge worse. But what we are trying to do is set the brand up well for what we anticipate will be an eventual normalization of the macro environment in the UK. And when the consumer is ready to reengage, we are there, having supported it, it being the brand all along. So, I think we weathered the storm. We keep our investment level where it needs to be and we prepare for normalization.
Robert Dickerson: Okay, perfect. Thank you. And then, I guess, just secondly, trying to touch on the points we haven't discussed yet. Refrigerated Retail, you break out the categories and the release, a few of those categories seem to be a bit more volume pressure, let's say, relative to other parts of your business. And at least from my perspective, we've seen some kind of volume pressure a bit more outsized in other areas of frozen, let's say, versus kind of center of the store. Is there anything you think is driving that pressure just outside of just the kind of stared issue, shift to private label? Do you think consumers might be steering a bit more away from kind of higher price point frozen items? I'm just trying to gauge why the volume there is maybe more pressured than elsewhere?
Rob Vitale: Well, I think if you -- let's focus mostly on our side dish business, which is the core of the franchise. Along with everyone else, we took considerable price the last two years. At the same time, this is the segment that had the most challenging supply chain two years ago and it is the segment that has had the most improvement in supply chain over these last two years. So, we were in a position the last 18 months or so. Well, I mean, the 18 months prior to the last six, I should say, in which we had poorly performing supply chains, price escalation, lack of advertising support because advertising made no sense given our inability to support incremental product within our supply chain. So, that's not a great position for growing a brand. We've now fixed the supply chain. We've now fixed the lack of marketing support or we are in the process of doing so. And pricing is normalizing as some of our competitors have now priced -- so I feel optimistic that the problems in that area were a combination of self-inflicted and macro supply chain problems that are behind us. It will take a little bit of time to prove that out as we enter 2024 and see the impact of the marketing, the impact of the improved supply chain and the better parity pricing But those are the reasons to be optimistic about the segment. I think it's less about a major consumer shift than it is about the trajectory over where we've been in the last two years.
Robert Dickerson: All right. Super. Makes sense. And then I guess just lastly and quickly, fully realized you just completed the Pet acquisition, but I feel like I always have to ask, just kind of general appetite for other opportunistic transactions kind of given -- kind of given the overall market environment?
Rob Vitale: Well, we're very interested. We are looking at things now. You probably heard Matt say, our leverage ratio is 4.8%. So, we're in a very attractive position to look at external opportunities to buy back shares or if nothing else just continue to generate cash and de-lever. I think the environment we're in favors us because if you look at -- I think I've shared this before. We tend to compete with private equity and private equity is in a less favorable position than a year ago with SOFR being 5.5% and the spreads being 5% on top of that for senior debt. So, we have a cost of capital advantage that I think could play into our favor and I think demonstrably has done so with Pet. I think part of the reason we were able to be as successful as we were in Pet was the paucity of competition for an asset like that. So we will always be active at least in looking and hopefully, selective and acting.
Robert Dickerson: Perfect. Thank you. I'll pass it on.
Operator: Our next question comes from Jason English with Goldman Sachs. Your line is open.
Jason English: Hey, good morning folks. Thanks.
Rob Vitale: Hey Jason.
Jason English: So, congrats on the quarter, obviously, just with some over-earning in the food service business. And I want to come back to it. You guys said that you're now back to more of a normalized earnings level. Last time we went through this volatility, we overshot on the upside, followed by a bit of undershooting the downside. I think egg prices remain depressed for a while as we replace the flock with much more productive younger chicks? Why is that not the case here? What is the risk of undershooting on the back end of this? And why are the conditions different than when it caused that to happen? Thank you.
Rob Vitale: Yes, the last time we went through this, the issue was more about the balance between grain-based and supply based, and we are closer to balance this time. So we don't see the same risk persisting for an extended period of time. We will always have some risk, but we think the risk is a very manageable amount of risk as we look into 2024. The other meaningful difference between 2015 and 2023, 2024 is a shift in our business to much higher priced and higher value-added segments of our product mix.
Jason English: Got it. Okay. And back to Refrigerated Retail side dishes [Indiscernible]. I think this is the second quarter in a row of private label pressure. I imagine there's two more quarters to go at least if you cycle this. But I guess that's my question. Is it just two more quarters? Is like this a change at one major retailer who's pushed in? Or is there something on the supply chain side where there's a new supplier out there that's supplying this and we've got one retailer on board and there's likely to be another to follow and another to follow. Could this have duration, this incursion on private label? Or is it a one and done wider fourth quarter cycle through it back on the other side, back to growth?
Rob Vitale: No, in order for it to take legs and expand meaningfully, would you as in the category would need additional capacity. So I mean there's always the potential for it if someone is going to add capacity, but that would be a fairly significant gamble, particularly at a time where we are becoming more effective in our own supply chains and more aggressive in our advertising. I think that -- to answer the first part of your question, the advertising is effectively starting now. It's been a couple of weeks. So, there certainly will be a lag. I would not be surprised to see some further weakness this quarter and start to improve in the first part of next year. Hopefully, we'll see some changes in the rates but it's not going to turn on a dime.
Jason English: Okay. Last question from me, and I'll pass it on. On your Consumer Brands side. I believe in the Q, you disclosed that inflation is still a headwind. I think it was a $15 million or so this quarter, that could be mistaken, I'm away from my computer right now. The spot cost, everything we look on a cost curve would suggest that, that should turn deflationary as we kind of wrap this year and go into next. Is that -- it's what you're seeing? Or is there any reason to think that the inflationary pressure from ingredient commodity perspective could be more prolonged?
Rob Vitale: And Jason, you're a little bit hard to hear. I didn't hear what business you were asking about. Could you somewhat repeat there I think?
Jason English: Yes. Yes, I'll take it from the top, I'll try to speak a little louder, I apologize. I'm outside of the -- which can be annoying. In your Consumer Brands segment, inflation is still eaten away at profitability. But our own cost curves, I think everyone is looking and saying, gosh, it's just a matter of time before this turns deflationary from a cost perspective. Is that realistic? Or are there offsets we don't appreciate? And what's the cadence as you look forward? Thank you.
Rob Vitale: Yes. So our entire basket of commodities is certainly not deflationary and it's modestly inflationary. I think I would characterize what we're seeing is disinflation trend rather than a deflation trend and that's what we are anticipating.
Jason English: Okay. Thank you. I'll pass it on.
Rob Vitale: Thank you.
Operator: Our next question comes from Matt Smith with Stifel. Your line is open.
Matt Smith: Hi good morning.
Rob Vitale: Hey Matt.
Matt Smith: I wanted to follow-up on the commentary about the egg business. The improved product mix and balanced sourcing help insulate risk on the back end of this AI cycle as conventional egg prices reset. But I wanted to ask if you're seeing any trade down from your customers back to less value-added products to take advantage of that wider price gap to conventional shell eggs in this environment?
Rob Vitale: You're right.
Matt Smith: Okay. That was quick.
Rob Vitale: Once you make that switch, it's very difficult to go back because of the implications on your layover model.
Matt Smith: Okay. Thank you for that. And maybe if I could follow up on the commentary about refrigerated side dishes and the private label outperformance. We've seen post benefit from a tiered value structure in several of your categories, whether it's cereal comes to mind here. Do you see any advantage to pursuing a similar type of strategy in refrigerated retailers, the strength of the brand of Bob Evans and the relatively low penetration of private label differentiating factors there?
Rob Vitale: I think there's a number of differentiating factors. Let me start with the answer of, yes. I think there is always an interesting opportunity to be had with having multiple tiers within the price points of the category. But the difference between cereal and the refrigerated side dish category is one of maturity. The cereal business is quite mature and tended towards excess capacity, which opened up opportunities around multiple price points, whereas historically, the side dish category has been earlier in its product life cycle, much more on a growth curve and has tended towards lack of capacity, which crowded out different price points. So, I think the balance you have to strike is where you are on the product life cycle, where you are in the capacity curve and how you want to play in the different price points within those two dynamics.
Matt Smith: Okay. Thanks. I appreciate the time this morning. I'll pass it on.
Operator: Thank you. We've reached the end of our Q&A session. Thank you for joining us. You may now disconnect.
Rob Vitale: Thank you, all.